Operator: [Interpreted] Ladies and gentlemen, welcome to the HermÃ¨s 2024 Full Year Results Presentation. I'm now going to give the floor to Mr. Axel Dumas, Executive Chairman of HermÃ¨s International; and Eric du HalgouÃ«t, Executive VP, Finance. Over to you.
Axel Dumas: [Interpreted] Good morning, everybody. Thank you for joining us for the publication of the 2024 annual results. We are delighted to welcome you once again to our SÃ¨vres store. I'm happy to present to you the results of the group in a more unpredictable economic and geopolitical context. The results of this year show the strength of the HermÃ¨s model as well as the agility and the commitment of its teams that I warmly thank. This model is based on a vertical integration with a strong local presence. It testifies to the strong desirability of our creations in all the mÃ©tiers, all the divisions, supported by our artistic directors, our very demanding quality, preservation and transmission of our know-how. Our long-standing and new customers were present everywhere in the world. In 2024, the house stayed its course, maintaining its equilibrium, attached more than ever to the respect of its values. We pursued strategic investments in our production capacity to secure our supply chain and prepare the future as well as in our network everywhere in the world to accompany the dynamism of the sale in the long term of the house. In all -- over 3 years, HermÃ¨s strengthened its operational investments by EUR 2.5 billion, of which more than 60% in France. We continue to strengthen our teams. The house went beyond the threshold of 25,000 people at the end of December, over 62% are in France. Faithful towards responsible employer commitment and the will to share the fruit of its growth with those who contribute every day to it, HermÃ¨s will be distributing, at the beginning of the year, a bonus of EUR 4,500 to all its employees worldwide in 2024. 2024 is also the victory of our partner horse riders in Versailles at the heart of summer, so much emotion with 5 Olympic medals for the HermÃ¨s saddle. Let us now come to the salient highlights. Carried forward by the theme of 2024, the Faubourg spirit, the creative teams of the 16 divisions headed by Pierre-Alexis Dumas gave free rein to the inventiveness. Let's give you a few examples. In the leather collections. Alongside the iconic models, new models such as the Haut Ã  Courroies en selle or ArÃ§on met with great success. To be noted also the creation of HermÃ¨s Horizons dedicated to the making of bespoke objects. The collection of women and men's Ready-to-wear received a beautiful welcome all over the world. And the successful launch of the new feminine fragrance, BarÃ©nia, by Christine Nagel. The eighth collection of Haute Bijouterie called Les formes de la couleur, imagined by Pierre Hardy, was revealed end of June in Paris and presented in Beijing and in Taipei. It met with great success. Great success also for the home division with the Milan Fair as well as Tressages Ã©questres dinner set. And let us emphasize the launch of the Apple Watch 10 series. We just celebrated 10 years of our beautiful adventure with Apple and success of technocraft. In order to strengthen our vertical integration, we pursue investments in our production capacity. In 2024, we inaugurated our 23rd leather workshop in Riom in the Puy-de-DÃ´me in the former tobacco manufacturing factory. In 2025, we will be operating a new leather workshop in L'Isle-d'Espagnac in Charente. And work is being pursued in 2 other sites, loupes in Gironde and Charleville-MÃ©ziÃ¨res in the Ardennes, which will open 2026 and 2027. The capacity-related investments continue in all other divisions with, namely, projects in Normandy for Perfume and Beauty, and Limoges for Tableware. HermÃ¨s also pursued its invest in logistics centers, the digital and information systems to accompany the development of the group. Finally, securing supplies is something that we continue with historical and long-standing partners of HermÃ¨s. HermÃ¨s thus continues to strengthen and expand the sectors of excellence in all the divisions founded on long-term relations. Let us now come to the exclusive retail network -- integrated network. True to our desire for balance of geographical areas and multi-local approach, we've extended our network to have our collections come close to local customers. New addresses have been inaugurated in the U.S. in Princeton, in New Jersey; or Asia, with the opening of Wuxi in China; and 2 openings in Tokyo in Japan. Amongst the extensions and renovations of stores, I would like to mention Lille and Nantes in France; Atlanta in the U.S.A.; or again, Shenyang, Shenzhen and Beijing SKP in China. The creation of HermÃ¨s expresses itself also through its 17th division of HermÃ¨s, that of communication. In the second half of 2024, we've continued to talk about the universe of HermÃ¨s in an offbeat and joyful manner for the public, Mystery at the Grooms' that took place first in Shanghai, with the event HermÃ¨s in the Making in Mexico, Seoul and Zurich where nearly 60,000 visitors had an exchange with artisans and 10-odd divisions and discovered how our objects are made. And finally, petit h went to Hong Kong and New York to reveal its joyful, unexpected and unique creations with the approach of reuse of materials that were asleep. Now let's talk about our commitment to sustainable development. First of all, in keeping with our social model, we paid out EUR 350 million in 2024. That includes the exceptional bonus and incentives and profit sharing in France. HermÃ¨s continued to reinforce inclusivity and diversity programs. We now have 48% of women in the top 100 of our highest executive positions. To guarantee an inclusive work environment, HermÃ¨s recruits and retains people with disability, a total of 7.12% in France. We continue to roll out our environmental strategy. Our decarbonization plan was deployed to all the divisions and led to a 64% reduction in Scope 1 and Scope 2 emissions compared to 2018, and a 50% drop in intensity for Scope 3 over the same period of time. Nature is a source of exceptional material and lies at the heart of our model. We continue with our Science Based Targets for Nature initiative to set scientific objectives to preserve biodiversity. We remain committed to supporting our local footprint by drawing on our local know-how and local employment, especially in France. We sped up job creation in 2024 with the recruitment of 2,300 new people, 1,300 in France. And in other words, there is 7,000 new jobs across 3 years, which I'm particularly proud of. To keep up with the growth of our business and to train employees to master our know-how, we continue to roll out our in-house trading programs through the Ãcole des Savoir-Faire HermÃ¨s and its professional training programs across 10 regions. We have also made progress in the nonfinancial area. For example, the AA rating by MSCI; our presence on the A List of CDP, which puts us among the best environmentally performing companies around the world; the grand prize Emploi France for the first time that we've received from the Impact (sic) [ Humpact ] rating agency; and the grand price for employer for people with disability. And then the Transparency Award, which rewards our financial information in the regulation -- regulated information. Now for our activity in 2024, our performance was solid. Our revenue in 2024 reached EUR 15.2 billion, up 15% at constant exchange rate and up 13% at the current exchange rates. For Q4, the revenue stands at EUR 4 billion, up 18% at constant and current exchange rates, with good performance in America and robust growth in the other regions. In 2024, all regions have shown solid performance. France, plus 13%; and Europe, plus 19%, recorded progression sustained by robust demand. Japan, plus 23%, benefited from sustained and regular growth carried by the fidelity of its local customers. Asia, excluding Japan, plus 7%, had a remarkable progression, thanks to sales up in all of the countries of the zone. America, plus 15%, confirms an excellent performance. The line others integrate the sales -- retail sales of stores of Dubai and Abu Dhabi, henceforth, in global integration. The changes in geographical breakdown reflected the progressive integration of the Middle East. Let us now look at the activity per division. In 2024, the mÃ©tier divisions, except for Watches, flagged progress which was solid. Leather bags, plus 18%, has a remarkable growth. Clothes and accessories, plus 15%, pursued its solid dynamism thanks to success of its collections. Silk and Textiles division, plus 4%, benefited from the diversity of its creations in the women and men's collections. Perfume and Beauty, plus 9%, are in progression with namely the success of the new women's fragrance, BarÃ©nia. Watches, minus 4%, which was penalized by more difficult context and a high comparison basis, pursued its development around watchmaking exceptional know-how. Finally, the other divisions HermÃ¨s -- of HermÃ¨s, plus 17%, which includes the Jewellery and the home, are growing strongly. The evolution of this distribution reflects the dynamism of leather. May I now give the floor to Eric du HalgouÃ«t, Executive VP, Finance, who will present the results to you.
Eric du Halgouët: [Interpreted] Good morning, one and all. 2023 (sic) [ 2024 ] was an exceptional year. The group delivered a solid performance in 2024, both in terms of results and cash flow generation. Current operating income stood at EUR 6.2 billion, up 9%. Available adjusted cash flow reached EUR 3.8 billion, up 18%. The revenue was in excess of EUR 15 million, in spite of negative currency impact and the depreciation of the Japanese yen and the Chinese yuan compared to euro. Our gross margin rate stands at 7.3% (sic) [ 70.3% ] versus 72.3% in 2023, which I remind you, had a positive currency hedging effect and a very good sell-through rate. Communication expenditure reached EUR 637 million and made up 4.2% of sales after a speeding up of events in the second half of the year. Admin and commercial expenses, which include the cost of our distribution network and the support functions, as well as the variable rents, reached EUR 2.9 billion. As was planned, the group beefed up its headcount in distribution and the divisions to keep up with the increase in footfall in the stores and with higher production. The other expenses and income reached EUR 941 million. They are made up of depreciation of tangible and intangible assets and depreciation of our usage rights. They also include the expenses attributable to our employee free share plan for all employees. The current operating income, therefore, reaches EUR 6.2 billion versus EUR 5.7 billion in 2024 -- 2023, sorry, so up 9%. After a record level of 42.1% of sales in 2023, operational profitability stands at 40.5%. So the same as in 2022. The financial result is the product of EUR 283 million versus EUR 190 million in 2023. That includes the currency hedging costs and income on cash, and with higher interest rates, that reached EUR 400 million in 2024, and that explains most of the improvement of our financial results. Tax expenses amount to EUR 1.8 billion, therefore, an effective tax rate of 28.7%, close to what we had forecasted in our half year results. Net income from associates reached EUR 44 million against EUR 155 million (sic) [ EUR 105 million ] in 2023, and that's down to the consolidations of our activity in UAE, which were previously included through our equity method of accounting. We have a result of EUR 4.6 billion, 7% up for the net profit group share. Net profitability is in excess of 30% in 2024, slightly lower to 2023, but higher than in 2022. On this graph, you can see that there is an uptick in our revenue and net results across the last 4 years. Over the last 10 years, our annual growth rate of our revenue and net income reached, respectively, 14% and 18%. Operational and operating investment reached EUR 1.1 billion in 2024. The group sped up its investment in distribution and in the production and division. EUR 611 million were devoted to secure our stores and their strategic locations and to develop our distribution network in China with Beijing, Shenyang and Shenzhen; in the U.S. as well, with the projects, for example, of Phoenix and Nashville. EUR 244 million were invested in real estate, digital and information systems to keep up with the development of the mÃ©tiers and to secure our supply chain. EUR 212 million were dedicated to reinforcing our production capacity, for example, in our new leather goods production units in Riom, Loupes, L'Isle-d'Espagnac as well as in the upstreams for hardware and perfumes. Our operating cash flow stands at EUR 5.4 billion and increases at the same pace as our net result. Cash flow for activity reaches EUR 5.1 billion. It grew by 19% because of a lower need of working capital requirements. After taking into account our operational investments and the repayment of lease liabilities, available cash flow stands at EUR 3.8 billion. There's also our noncontrolling interest in UAE that is factored in and noncontrolling interests to be more vertically integrated. EUR 2.7 billion of dividends were paid out, and HermÃ¨s International bought back EUR 40 million of shares. Our net cash, therefore, is EUR 900 million higher than it was and reached EUR 12 billion in 2024. As on December 31, 2023, cash makes up 50% of our total assets. And equity, equity more than EUR 17 billion, making up more than 75% of our liabilities. Therefore, we have consolidated our financial structure, which allows us to remain independent and to roll out our strategy with confidence. The ordinary dividend, which will be approved by the General Assembly on April 30, is EUR 16 per share. So that's a 36% payout, close to previous years. It will be paid out on May 7, and a EUR 3.50 down payment will be paid on February 19. And there will also be an exceptional dividend of EUR 10. Thank you very much for your attention, and over to Axel, who is going to be talking about the outlook.
Axel Dumas: [Interpreted] Thank you, Eric. I now come to the prospects of the group that remain unchanged. In an economic and geopolitical context that is more complex, the group embarks on 2025 with confidence, thanks to its highly integrated artisanal model, its well-balanced retail model and the creativity of its collections and its loyal customers. In the beginning of 2025, HermÃ¨s keeps the course, attached more than ever to its fundamental values of quality, creativity and know-how. The theme of the year, drawing to craft (sic) [ drawn to craft ]. From saddle stitch to the line design, drawing is the start of everything in HermÃ¨s. We pursue the dynamic of job creation, multi-local and multidivision as well as our investments in production capacity. We will continue to accompany our suppliers and all our partners. We will also invest in omnichannel distribution network with openings and enlargements of stores, namely today in Florence. I would like to once again thank all the employees who have, once again, led to this very beautiful success as well as our customers all over the world. We are now available with Eric to answer to your questions.
Operator: [Operator Instructions]
Axel Dumas: [Foreign Language]
Antoine Belge: [Interpreted] I hope you can hear me. Antoine Belge from BNB Paribas. Two questions for me. First of all, you said that all countries in Asia grew in 2024. In -- and yet in Q3, there was a little bit of a slowdown in Asia. What is your outlook for Asia? There was a little bit of a slowdown. Was that down to the real estate crisis? Or is it more concerning? And then Ready-to-wear makes up 30% of your revenue. We talk a lot about leather goods at HermÃ¨s, which makes sense, of course. But Ready-to-wear seems particularly resilient. Your clients who buy Ready-to-wear, are they the same people who buy handbags? Is there competition in Ready-to-wear with other players out there?
Axel Dumas: [Interpreted] Okay. So you've asked a subtle question about China without actually naming them, so well done. But yes, indeed, you are right. All countries, including Greater China, have grown in 2024. Now there are 2 things that I'd like to say. First of all, on the beginning of the year, it's very difficult for me to answer your question. You know my theory. I don't know if it's a theory. But with the change in the date of the Chinese New Year -- and this year, it's been moved quite a lot. Last year, it was very early January. This year, it's quite late in February. So it's very difficult to give you any figures. And New Year celebrations are very important in China. Last year, we had a very strong New Year and a very good performance, and yet things had slowed down previously in China. Now HermÃ¨s overall is quite resilient. And sometimes, we are affected but later than others. So it might hide the fact that we affected by the crisis. But we are like everybody else. We follow the same laws of like gravity, for example. I think that 2025 will be a complicated year for me to communicate with you because it's not going to really happen in a quarterly matter. There will be cutoffs with deliveries, so you'll have to take a step back and look at the whole year. And the comparison basis effect also might make you feel that T3 is not very good, T4 is a bit disappointing. But the big picture is that there are some positive signs but not enough to expect a full recovery. I mean in economics, more than really happened, it's what you think is going to happen. If you think that tomorrow is going to be better, then you're going to spend more, whether tomorrow is actually better or not. In China, we are in a situation where some steps have been taken, which are encouraging. But how long are they going to last? We don't know. The real estate market is going to remain quite sluggish for some time. But that doesn't stop us from recovering. Look at Japan, for example, and the real estate market there, which has been sluggish for a very long time, and yet we have good performances in Japan. So I see some positive signs. Now I'm not going to go so far as to say that structurally, we are ready for the recovery. It's a bit early in the day, but we are very resilient, and we're building on that resilience, but it's a bit too early to draw any conclusion. And I'll go even further by saying that, for this year, it's more interesting to look at the real value rather than the percentages. It makes more sense. And yes, for the rest of your question and Ready-to-wear. So we've always wanted to have different method to balance things out, balance out our regional presence. This was our desire with Florian Craen to invest in China but also in Europe and also in Japan. And here, we are integrating now the Middle East. So we want to have something integrated and balanced. And we have the same ambition for the divisions. We invest in leather but also in Jewellery, et cetera, et cetera. We want things to be balanced but not artificially. So we're not going to sabotage the leather division to have a nicer division elsewhere. And that can be the trap if you think too much through the lens of percentage. So we do invest quite a lot, and our objective is to balance out the different divisions. Now to go a little bit further on that, inside the mÃ©tiers, we want to have also some balance. We don't want one model that drives all of the growth for leather goods. For example, we want many different items to be as successful. So for that diversity, we were quite successful, 3 main successes or 4 -- or rather, sorry, there are many successes, but I'm only going to mention 3 of them. We had shoes, for example, that took up quite a lot of space. And then Jewellery, which I mentioned. And Ready-to-wear which, led us to discovering a very loyal customer base. And in spite of everything that my teams do, I answer the questions which people advised me not to do. They tell me to stick to the message, but we have great clients. Our leather client base is a bit broader and more diverse. But for Ready-to-wear, I think that our clients are slightly more exclusive, a bit more resilient, and there are more of them. So we've probably won them over from other clients for both men and women.
Edouard Aubin: [Interpreted] Edouard Aubin, Morgan Stanley. I have 2 question on the products, on leather. You have exceptional performance, 18% of the year 21% over the quarter. This is above what was indicated to us here last year. We've spoken about volume growth of 6% to 7%. So if you could come back to the explanation. And also give us indication of the level of inventory at the end of the year. It appears that inventory totally at 220 days above your historical level. Can you give us a breakdown or an indication per category of product? And the second question, to come back to Jewellery and Watches, there's a divergence in performance that we haven't seen in many years. With the excellent performance of Jewellery and less so for Watches, if you could give us the reasons for this divergence, please?
Axel Dumas: [Interpreted] I'll -- we -- what is our objective, Eric? 6% 7% of capacity on leather, says Eric, to which we add the price effect, which was 9%. And after the -- space of delivery means that some quarters can be better than others. So we have a very strong delivery end of 2024, which explained that we're slightly above our forecast. But the pace in the middle -- medium term remains identical. So -- because sometimes I ask my teams a little more, so I don't want to wrongly communicate with you. No, frankly, the quarters play a big role in the comparison basis and then the desire to succeed of our teams. And it was a wonderful year in '24 results but difficult in terms of stress and work. It was less simple than years where everything was simple. 2024, we pay for the errors, and the good decisions come time and again. So this desire to succeed. So there was a real dynamism in T4. So the levels of inventory for leather slightly lower than what we have normally and the reconstitution of the stock because '22, '23 were years which are very intense, which is below our objective. So if you look at 2024, it's below what we were doing before. I've been at the helm for 12 years, and I'm not just thinking of 3, 4 years back. So this is a sort of renormalization with our inventory going up. But Eric explained it well in terms of the gross margin, which impacted us and which is slightly different for leather, where I must say, whether it's the U.S. or Asia wanted end the year with -- in fact, we were not asking for so much. And so it's dynamic, and it's nice to know that there's always this demand and there was this desire of our customers. They wanted to please themselves. And Jewellery, Watches, these are 2 divisions which are quite different, really, although they are classified in hard luxury category. One is very feminine, and one is more masculine. Was it more difficult? We have a success -- continuing success for Jewellery. We have a creator, Pierre Hardy, who is very good, very strong. And that's the first meeting I was a charge-off in HermÃ¨s. And when I was in charge of it, who -- the one person I was replacing said, "Don't worry. It's so small that it won't be visible in the accounts of the group if it goes bad." And I took it as a complement. And my spouse told me, "No, that's not at all what you should have understood from his comment." And today, it's very big. And I'm very attached, and I'm very proud of the team and the work, which is much better than what I had done then. So it's really been able to put forward a different aesthetic of -- very different to what's done at the Place VendÃ´me. And right from the beginning, we were very strong. Women were not being offered this jewelry, but that they were buying for themselves. Watches was always a boom and bust. The market, as such, was very challenged in '24 for all the brands. And I think we better resisted than some, thanks to our retail network which we have, which is ours. And to take back my initial analogy, I think we also made some mistakes. And so we have things to improve in-house. And I remain very confident for the follow-up. I hope, because we have a fair amount of investments to come in Watches, so it must work. Luca, I'll go through the whole row as I promised, and then I'll come back.
Luca Solca: [Interpreted] Two questions on production, if I may. You have creators of employment, which are great and focused in France. Given what's happening internationally and the fact that the new American administration is presenting the invoice as it were to the net exporters, is it conceivable that you can create production in the U.S.A. for some divisions for them to -- the divisions to be more favorable in terms of the capacity that you could find there, to minimize or at least to reduce the customs duty effect that may target the sector? Second question, you are amongst the players who are most integrated upstream. And that is an important quality, at least in Ready-to-wear. And given the fact that Ready-to-wear is becoming more and more important -- it's growing. In your plans, do you have any direct investments planned in this division in this activity?
Axel Dumas: [Interpreted] Thank you, Luca. Well, first of all, one of the things that worries me the most is the evolution of geopolitical relations at the moment. You summed it up well. The figures speak for themselves, producing 75% in France. 10% of our sales are in France. So we produce in France, and we sell all over the world. So we do need a commercial exchange that is balanced. And we've always had the weakness to believe that trade brought people together rather than driving them apart. Is that still true? We have the right to believe things in your little corner that others don't believe in anymore. That's what it is. Exchange, commercial, cultural, enriches us rather than the contrary. So it's a source of concern. But that being said, it's not the custom duties that worry me the most. It's more the tension amongst the people. The house is what it is. HermÃ¨s is what it is, nearly 190 years old. We've known custom duty is growing and up and down. And Eric, if the customs duties go up, we increase the price to make up for the customs duty because often our price -- we don't have any marketing policy for price. We have increased the price as a result of our increase in cost of production and monetary fluctuation. So next time, I can tell you that next -- we increase our prices because of these 2 factors plus customs duties will increase. And our American customers will understand, will remain loyal. And those who find it too expensive will come to benefit from our hotel infrastructure in Paris and will buy at the Faubourg. So I regret this, but I'm not especially worried, particularly worried, not. Famous last words is how I take things, but -- and obviously, you are right. Our vertical integration policy means that we will tend to make investments to integrate and protect our production capacity. Ready-to-wear and Jewellery are divisions that are slightly more complicated to integrate because each one has their specialty. And you need many to be autonomous. One is better than for setting -- I'm talking of what I know better, one better for stamping, lost-wax castings. They're more diversified and wide. Nonetheless, we've strengthened this year in Jewellery. We've taken many shares in companies. In the shoe as well. In shoes, we have a real production unit in Italy, which is growing. We have a capacity of 200 people. Thank you, Wilfried. And in the Ready-to-wear, we are beginning to take shares. We are trying to save -- to help -- well, to help the French ecosystem because you still have a Ready-to-wear ecosystem for Ready-to-wear in France. The shoes are in Italy. But production for leather, we make a lot of leather clothes, so forth. So it will go in that direction, but it's slightly more complicated than in leather. Once you learn to saddle-stitch, then you know how to make all the bags. But that's the sense of our history with pros and cons. With everything is going well, that's great because it's fixed cost. But when things are not going that well, bad luck, you've got too many overheads.
Adrien Duverger: [Interpreted] Adrien Duverger from Goldman Sachs. Two questions. First of all, on the growth of the scope, to which extent do you believe that this can lead to extra growth later on? And have you changed your plans in the opening of newer stores around the world, for example, in China where it's more volatile and more favorable in the U.S. in spite of the tariffs? And secondly, on operational margin, is there a big difference between the regions and the divisions? And what is the volume level that you need to keep stable margins or margins that grow slightly year-on-year?
Axel Dumas: [Interpreted] Well, I'm going to start off, Eric. Well, it's quite interesting, your question, because when I started out managing the group in 2013 -- I'm looking at Florian to make sure I don't say anything silly although this is filmed. There were 313 stores at the time, and now we have 293. So we have fewer stores than back then. So it's not by opening more stores that we became more successful and increased fourfold our revenue. So we don't grow our scope by opening new stores. However, it's not necessarily the same stores in the same space or place. They might be bigger as well, which allows us to give more space to the different mÃ©tiers. You can look at our strategy for balancing out the divisions. And if you want to balance out the divisions, you have to be able to show them off in the stores. We could have decided to have 500 stores, all the same size, but you would only have had small leather goods, which would have been probably not the right way to go. So that's the first thing to say. Secondly, and I'm a bit embarrassed to say it, but never mind, it's that our long-term strategy is a long-term one, and we don't really tweak it. 4, 5 years ago with Florian, we said, okay, the U.S. remains a market that we need to conquer. So we are opening stores in the U.S., and that's working out quite well. And we can go to new cities with Phoenix and Nashville in 2025. I'm trying to find actually a little bit of time to go to Nashville. And sometimes, we have 2 stores in the same city, like in Miami, for example. And in the LA area, we have 3 stores. So yes. Now regarding our policy for China, it's actually even worse, so to speak. And it's what I answered actually this morning. At the time, I was COO, and Florian Craen, in charge of retail, was the Head of China. And in 2010, we decided to have a strategy whereby we opened a new store in a new city every year. That was 15 years ago, and we've been rolling out pretty much the same strategy, and it seems to be working out. So I must admit that we do have a strategy and we kind of stick to it. We are not specialists when it comes to seizing opportunities swiftly. And likewise, we continue to invest in all our zones, even the long-standing zones like Japan, for example. And I'm very proud that we've opened 2 new stores in Tokyo. There are fewer stores today in Japan than 10 years ago. And we've got a fantastic new store actually in Japan. Ginza is a lantern, and our other store is like a glowing burning candle. Now for the margin before Eric comes up with a proper answer to all these questions, we never make any decisions on the margin. The margin is a consequence of our strategic decisions. And in our balanced theory for resilience, it actually only works if you got the same margin everywhere. So we are very integrated. We have more margin when it works well, a bit less when there are some headwinds. But for the product, in any case, we try to have the same margin across all the divisions so that you don't have more margins on the desirable product than on the one that is harder to sell because 10 years later, it might be the other way around. And if you have the same margin everywhere, then it doesn't affect your margin rate too much. And we try to not fall into this trap of saying, okay, this product is selling well, we're going to push up the margin. So our business model is about very similar margins so that when the desirability of one product changes and goes to another, it doesn't impact things too much.
Eric du Halgouët: [Interpreted] Well, I think you said pretty much everything. Our margins are indeed very consistent because we also have our clients bear the extra cost when we export abroad. Our fixed costs -- well, that's what we said earlier about the vertical integration. These are the kind of elements, fixed costs, that can impact profitability down the line. But structurally, if we have higher production costs, then we essentially pass this on to this market. But of course, that will vary from one market to another, from 1 year to the next.
Axel Dumas: [Interpreted] We have another question over there.
Adrienne Klasa: [Interpreted] Adrienne Klasa, Financial Times. Congratulations on your results. I wanted to come back to the question of Luca. You said that the consequences of custom duties if applied by the U.S. would be absorbed in the price. You did an average of about 8% of increase of annual price in the last years annually. Do you intend to anticipate the same trend this year? And how does the application of these rates pull things upwards? I understand that you will not be changing your method of production, but have you done any overstocking of certain products in the U.S.A. in order to offset the inventory which could be affected by the customs duties?
Axel Dumas: [Interpreted] Thank you. Questions are cruel because these are probably good things that we should have done but which we didn't do. Firstly, the price increase of -- for the 2025 were done over the year. We don't have the vocation of doing, so we try to covered over the year. They are 6% to 7% this year. And the big -- major disparities are related to ForEx. We hedged all year long, but -- which are the currencies in 2026 need -- my dream -- everybody panicking in communication. But if we could not increase prices because the dollar goes up and not the euro, then we'd be delighted as well. We don't have a growth policy by price or scope. The growth we're looking for is organic growth. So I can't say to you, unfortunately -- I mean, I can tell you that it will be more or less the same thing, 2%, 3% inflation on the raw materials and our production costs. But then that could be offset by a contrary change in currency. Every year, I say currency will go in the right direction, that will be great. I won't need to increase price. That doesn't always happen. Then there's the exception of the customs duties. If we applied customs duties, and then we'll see. At the world level, international level, I don't know whether a certain percentage will get the needle to change worldwide. But our policy up until now was to put customs duty in the production costs and have them vary according to the duties.
Eric du Halgouët: [Interpreted] 6%, 7% that Axel was mentioning, that was retained in 2025. Its aim is to cover the cost price of our objects that has increased by 4%, 5%. And a part -- only a part of the negative impact exchange currency effect, the negative impact, which is of EUR 100 million in 2025. But we're doing that reasonably and which doesn't cover all of the negative impact of the exchange rate.
Axel Dumas: [Interpreted] And excess overstocking in the U.S., our American teams are very dynamic in Q4 as you were able to see in the figures. They could have kept a little more to my taste. But then we're in the multi-local, so each country manages themselves with their margin of liberty.
Zuzanna Pusz: Zuzanna Pusz from UBS. I'll ask 2 questions, although I probably could ask 3 because I waited quite a long time. So one will be easy. Financial second one is a little bit more philosophical. So the financial question for Eric. How should we think of the margin for this year? I know the margin is not the objective, but I guess what are the known things at the beginning of the year in terms of FX? I believe you had last year at the beginning of the year some exceptional hedging gains, so how should we think of FX for this year? And anything else, basically, I want to know if the margin should be up or down. And the second question is for Axel. It's more related to leather goods category. I think investors have been used to the leather goods category being quite resilient in the sector. And we are seeing now something that has never been seen before, which is leather goods category is actually quite weak, obviously, not for you. So I'm just curious if you have any high-level observations about that. Why do you think that leather goods category is weaker for your peers? Could it be that the customer has changed, they focus more on the quality, craftsmanship, resale value? Anything you could share, that would be really appreciated.
Eric du Halgouët: So regarding the profitability, we consider that the level that we have today of more than 40%, 40.5% remains quite high. And as I mentioned before, we are not going to pass to the customer the negative currency impact this year. So this should show a slight negative impact on the gross margin. This is it.
Axel Dumas: Yes. Thank you. So I will take the philosophical question. No, leather goods, of course, it's our -- one of our core mÃ©tiers, and it's the historic mÃ©tier of HermÃ¨s. But when I did my first internship at HermÃ¨s, before, it was most striking because it seems very quick now. It seemed very old. But the turnover of the group was 54% with silk and 9% with leather. So there is some change, I think. And me, I'm an adept of the game theory more than the division. So my job is that all the mÃ©tiers can succeed, all the mÃ©tiers have similar margin. And then the client will pick maybe in 20 years -- I don't know if I hope or not to be there to present the result. Maybe I should do something else at one point. But in 20 years, you will have -- the first mÃ©tiers will be Jewellery and shoes and the rest. So we need to be in a position to deal with the unexpected. So that's the thing. And we are lucky enough to have an incredible result in leather goods. Very difficult for me to answer you without looking pretentious or a snob on that. I do believe that we have an incredible craftsmanship and our artisans are unbelievable. We still have the supply chain to get the best leather possible. It's a struggle to find this kind of quality of leather, less and less. And with the industrialization of farming and all that, it's been a difficulty. And that's why we invest so much in tannery to try to compensate by having investment. But I think -- yes, everybody -- I think we don't have the same product in a way. In a way, I will say our cost of goods in leather is sometimes -- it's much higher than the selling price of some -- of other bags. So it's not the same product. Is it good or bad? I don't know. Maybe we are just terrible at managing cost of goods.
AurÃ©lie Husson-Dumoutier: [Interpreted] Aurelie Husson from HSBC. I've got 2 questions for you. The first is on the early year trends. You told us that China was difficult to decipher because of the timing of the New Year celebrations. But what about the other regions, about the U.S.? Is it still booming as in Q4? And still on Q1 of 2025, could you maybe give us a flavor of the sales for 2025 for Q1? Is it going to look like Q1 of 2024? And what about price increases?
Axel Dumas: [Interpreted] Okay. So every year, I have an idea of where that figure is going to go, and I don't tell anyone. This year, I have no idea. So I'm definitely not going to tell anyone. It's too difficult to forecast to be honest because a bit like Christmas in Q4, it can go either way. And it's the same with the Chinese New Year, the date of which changes every year. What I truly believe in is that there is no overall broad trend that has been impacted by any of that. But then if you look at the figures at the end of the day, there might be some small changes. China, it's too early in the day to say anything. In the U.S., very booming Q4, but they might not have a huge amount of stocks to help them in Q1. We were impacted by the fires in Los Angeles, by the blizzard, but the demand seems to be there. So it's going to be difficult for me to talk to you the results in 2025 quarter-by-quarter. I think you'll need to take a step back. But the overall trend of demand and desirability are there and seem to be very similar to in previous years. Now you also have to take into account that we are going to be comparing things that are quite different with production capacity, which is different. But in any case, it will be interesting. In any case, I don't see any global shift in our industry, no huge changes in trend. And in our HermÃ¨s scope, I can't see any huge changes in desirability, which goes one way or the other in terms of footfall. We have a lot of very loyal customers who come to us in China, but I can't see a recovery on the horizon. And in the U.S., footfall is quite important. But what about the stocks? I had to explain the figures when they were not very good for leather, I remember, some time back, a few years ago. And we had a lot of people who were sick at the time in the workshops. And if these viruses go around, you have a lot of people who can't turn up to work, and that can lead to a 3% or 4% drop in production. And then you also have the stock effect. You can have huge stocks and then sell them at the right moment. And sometimes demand is there, but you're out of stock. And if you do plus 15% on plus 15%, I mean, when you're looking at the percentage increases, it can be a little bit misleading.
Eric du Halgouët: [Interpreted] We had EUR 3.8 billion of revenue, and half of that was in Asia Pacific, thanks to the Chinese New Year. So it's going to be a very high comparison point.
Axel Dumas: [Interpreted] Okay. I'm going to let the microphones decide who asks a question.
Unknown Analyst: [Interpreted] Can you tell us a bit more about the evolution of the revenue in Asia and in the U.S.? And tell us about the main opening and main renovations of stores in 2025.
Axel Dumas: [Interpreted] Well, it's actually quite amusing for us because, for us, it's really the countries that matter when it comes to nationalities. For example, take a look at Japan. Our success in Japan is driven by the Japanese clients, unlike other players where people buy in Japan but they are not Japanese. So we pretty much sell to Japanese people in Japan, to Chinese people in China, et cetera, et cetera. So we're not even really performing any analysis. I mean Eric will probably tell you the opposite. If you do so, please do it kindly and gently. But yes, it's quite striking in Japan because everybody is affected in Japan, and we are not -- now there are some explanations to that. Maybe we don't have enough stock, so the capacity is not there. Or is it because our clients are so glad that they find the products they want in their country, and they think that they won't be able to buy it elsewhere because each store picks what they have? So they don't go and look elsewhere. They buy at home. And Japan is among one of the cheapest countries in Asia, which hasn't happened in decades. So we don't have clients who are looking for a good deal, so to speak, and if you want to use tourism to that end. So this is why we sell to the nationals in the countries where we operate.
Eric du Halgouët: [Interpreted] And the 2 big exports is Middle East and America. These are the countries where we've got a larger export client base.
Axel Dumas: [Interpreted] And the U.S., it's true, they are very sensitive to exchange rates. They'll look at the exchange rate and maybe buy elsewhere.
Eric du Halgouët: [Interpreted] But the Chinese customers have bought their products in China, not elsewhere.
Axel Dumas: [Interpreted] I know you could have contradicted me. I am used to it by now. The stores, I said Phoenix and Nashville. Florence. Florence, today Florian Craen will be leaving in a moment because he's going for the opening of the Florence store today. KitzbÃ¼hel would allow the teams to go skiing. Phoenix, Nashville. In Asia Pacific, Shenzhen and Guangzhou, as well. And we're closing Ikebukuro Seibu in Tokyo because we've opened elsewhere. So we have 5 openings over the year.
Eric du Halgouët: [Interpreted] 20 projects of enlargement as is the case every year.
Axel Dumas: [Interpreted] Yes, yes. So we have the enlargements. Do you want to tell us?
Eric du Halgouët: [Interpreted] It's spread out in France and Europe, America, Asia Pacific, even Japan, Omotesando, or in the Middle East, Dubai Mall. So it's very well balanced for all the regions.
Axel Dumas: [Interpreted] [indiscernible], if you want to make a case. I think KitzbÃ¼hel and [indiscernible] this year. Who has the microphone? Who is -- he or she who has a microphone can ask a question.
David Da Maia: [Interpreted] David Da Maia, CIC. A question on your -- and growth driving force. You showed an interesting growth -- average growth of, 10 years, 14%. Correct me if I'm wrong, but I think that this growth was driven widely by hike in volume over this period. Now you've come to a size of EUR 15 billion in revenue, and we saw that 2024 price was an important component of this growth. In the future, do you consider that you have to expect a kind of slowdown of volume growth, which could be offset probably by higher valorization like in Jewellery? This was particularly true. A mÃ©tier division like leather, would it be -- where you have the highest average prices, could it benefit from a valuation strategy, proposing products with an average price, which would be higher, offsetting therefore, this standardization of volume?
Axel Dumas: [Interpreted] Several subjects here. I can't tell you exactly what will the growth of the group in 10 years' time. If you'd asked me 10 years before, I had done some good calculations saying I'll retire at 65. We'd grow -- when we said we'd grow by 7% a year, we thought at that time that it was great and very ambitious, which led me to a revenue of EUR 12 billion. Today, I am presenting EUR 15 billion. And I said to myself, maybe I leave on the retirement. I thought of age rather than the revenue. So sometimes, it's a -- pinch me, I think I'm dreaming. And if 15% seems -- of growth seems enormous. But in your question, you must distinguish -- but you did so. Let me specify price effect, what will increase because my cost is increasing and the value effect, which is very different for me. And that is where you are right. We can't follow -- that's not our artisanal model, the volumes as such. That doesn't mean we won't grow in volume. You need a value effect. In Jewellery, for example, we have a lot of silver jewelry today, gold and diamond. For leather, I think we've already done well. We have a value offer which is very strong, but we are making effort in value in Watches, Silk and Textile. Ready-to-wear is highly valued and -- thanks to sort of the other companies -- haute couture. The HermÃ¨s model goes through products with high added value. But where you have to be careful, and I talk about the ethics of aesthetics with my team. That's on a marketing plan. You shouldn't just doing value for the sake of value. There has to be an aesthetic reason, has to be beautiful. There must be know-how. I'm very proud of our ties, which are not the most costly of the -- expensive of the market. They're not always worn by everybody. My vocation is not to make expensive ties just to offset or compensate for the drop in volume. There has to be a reason. What I really tried to do is not to be held by the finality. It's to keep the way of doing at the heart of the system. So value, we can do value, but it has to have an aesthetic sense as well. If it's too costly to make -- expensive just for the sake of it, no. We have a normal trend to have such incredible artisans that they can work with incredible materials which are more expensive and gives products that are really quite impressive. But we'll never say let's do a little more of this just to increase the value. No, it's the product that's at the heart and the desire to do so, make them or not. And there are products that we love and they don't work, we don't only have success in HermÃ¨s. And that's great because if they were only successful objects, then I wouldn't have attempted enough. There's product, there's know-how, the material that drive us. Then we'll see what the survey says. There's a part of risk. We sell desirability, dream. That's the salt of our industry.
Juliette Garnier: [Interpreted] Juliette Garnier for Le Monde. What can you -- what can haute couture you bring to you? And in fact, can you talk about the extension of a range for Beauty? Do you intend to go more on haute jewelry -- haute joaillerie?
Axel Dumas: [Interpreted] Three points. Okay. Haute couture, I say this honestly, it came out an interview that I had the pleasure of doing. Are we thinking about it strategically or not? I'm not so sure. But once we've said it, we thought that was a good idea, actually. That's nice. Honestly, I thought that the teams are going to get angry with me, saying, "What did you say?" And they said, "Oh very nice. We've been thinking about it for a long time." What are we interested in? When it's haute couture, it's the know-how. We already have a very high level of quality of leather that's incredible. And so we said, why not? Why not? What will it bring? What is so -- it will be -- bring problems. But let's hope it will also bring pleasure. And so I'm very excited about haute couture. We'll see what it gives, but I think it's very nice. And especially since it didn't come through strategy or marketing, where we just said to ourselves, why not? When? When? I don't know. Ask Guillaume to send the production when we deliver for the podium. By when? Well, I guess 2026. We'll try the time that is put in place. But if it's 2027, why not? The idea is to do things well. For Beauty, there are several subjects depending on the vocabulary. Where -- what we call Beauty is makeup. We'll continue with makeup to extend our range and certain products that we will renew. We will launch, for example, the silky lipstick this year. Very excited of the success of Beauty. I think we've done incredible work. I have a preference for the lipstick, but that's my problem. Nail polishers are very good, too. So we'll continue. And then we are preparing ourselves -- what has another award? It's cosmetic, skin care. So we have to find the right way of doing it, the laboratory, it has to be ideas. And the -- we talk about technocraft with Apple and discuss this with Charlotte, who's in charge of our communication. We talk about similar approach for the skin care. I'll test it on myself to see whether we want to commercialize it or not. And for Jewellery, it's a subtlety that may have escaped you, but we don't say haute jewelry, where we say, Haute Bijouterie. We remain bijoutier. In HermÃ¨s, we say chaussure, and other companies called them soulier. And behind the idea of the Haute Bijouterie is the idea that we are quite different from the Place VendÃ´me, which starts from a big gemstone and works around it. But we base ourselves on the design. There's a lot of paving. There's a lot of drawing design, and then they put it in shape. So it's a bit different as an approach. So we continue to do Haute Bijouterie with a lot of success. The teams under the aegis of Wilfried Guerrand want to maybe -- because we have a presentation every 2 years, maybe we want to accelerate this pace. But we will see whether -- because for me, what -- the time of creation is very important, too, because our collections every time at our scale are a small event. So it mustn't be with too many constraints. We're lucky with the bijouterie to be off the fashion calendar, so it must have a sense. So I say, yes, there'll be more and more but only if we -- it's something that we like, and with Pierre Hardy, we're submerged with design because he's amazingly creative, but we're not going to force ourselves to do so. There's no marketing plan behind this. I explain this every time. There's no marketing in HermÃ¨s. That doesn't mean that we don't get 50 CVs a day that I want to join your marketing department. So communication isn't perfect, is it? But that's more or less our development plan. But we've got lots of things which we're happy, the new bags that will be coming. We're always looking for new leathers. Very excited about the handwoven that we do in Nepal on cashmere shawls. So in all these divisions, there's a lot of projects. For those who are interested in it, like myself, very exciting.
Carole Madjo: [Interpreted] Carole Madjo from Barclays. Two questions on my side. Could you tell us a bit more about the fires in California? And tell us about the impact it had on the stores and will continue to have maybe on the stores. Second question on China. Could you maybe quantify the impact of the Chinese sales? Will they drop or not like your competition?
Axel Dumas: [Interpreted] Well, they're 2 questions I don't really want to answer, but I will do my best. It's very difficult to quantify for us the effects because somebody who doesn't buy back because the store is closed will find it elsewhere. So the impact has to be looked at from a bird's eye view. Of course, there are some losses, but it's difficult to quantify these losses because they tend to pop up somewhere else as a win. We did have a store which was quite close to the fire. So we had to -- there was a power cut. And there was another store that we closed for safety purposes. And then there were climate events in the U.S., be it the blizzard in the north or the events in Florida that meant that this year, there were ups and downs. Now all of this will be offset elsewhere during the quarter. But I don't think there will be a huge impact or not the kind of impact that you can see overall in the overall figures. But it was a difficult time. And now for our clients in China, it's a very important customer base. Greater China has grown less than other countries, even though they have grown. So inevitably, the share of Chinese clients has dropped relative to the total number of customers. Do we have other questions? People over the phone maybe?
Operator: [Interpreted] [Operator Instructions] First question from Thomas Chauvet from Citi.
Thomas Chauvet: [Interpreted] Your net cash increased to reach EUR 12 billion. This very high figure, is it going to lead to extra bonuses, an extra dividend? Are you going to buy up another brand to maybe balance out the risks even further? Or do you not want to grow too much and become ubiquitous? Second question on the strong increase of revenue with the strong increase in headcount. It was plus 10% and 25,000 employees altogether, I believe, for last year. How do you manage to have a corporate culture that everybody kind of buys into and understand in spite of this very rapid and strong growth? To which extent are you remaining true to the values of your great-grandfather, Axel? I know that society has changed quite a lot. But you're nearly at EUR 20 billion of revenue. How do you keep this original spirit of a workshop?
Axel Dumas: [Interpreted] Okay. So 2 tricky questions here. On your first question, we're going to stick to our cash flow management strategy, which is that of the thirds. So 1/3 of investment, 1/3 of value sharing and dividends and 1/3 of cash flow so that we precisely can weather a difficult year, which I'm sure will turn up at some point. One example during COVID, we were very happy to have our available cash, which allowed us to not decrease the dividend, which we've never done at HermÃ¨s. And secondly, it allowed us to pay everybody's salary without having to ask any support from the government. So it's always good to keep some cash for a rainy day, let's say. So strategically, there is no change in our policy. We're not going to be deploying capital to buy up other companies. We might need capital to beef up our vertical integration because that is important to us. Now I don't want to say it's never going to happen, but it's not our priority right now to buy up other companies. And we know how to do HermÃ¨s. I'm not sure we know how to do anything else. I'm not sure that we could buy up another company and impose on it the HermÃ¨s model. I think it will be counterproductive. And actually, you might have seen this year that some people want to do a bit like HermÃ¨s, but it doesn't really work out at the end of the day because the success of Hermes is down to the things that we do really well and then the things that we do really badly. But it's all balanced out and gives us this kind of unique positioning. So unless you're a deviant, it's -- you can't really do bad things to other people and hope that there are good repercussions for you. Okay, that's the end of my psychoanalysis for today. But that leads me nicely into your second question. Your question, which is, well, about my main cause for concern at the minute. In other words, how can we keep this mindset and this culture with a company that's grown to 25,000 people? We've got 2,300 new jobs this year, which means that at least 3,000 people have arrived, people have left, retirement, et cetera. So how do we keep this culture going? It is a strategic issue. We are working on it, and we work on it because we will only be successful if we can keep this culture. We need to remain at this kind of human scale and keep this entrepreneurship spirit. This is why the different divisions are independent. The countries are very independent. And actually, I fight against bureaucracy at HermÃ¨s with more or less a success because every company that grows tends to increase its bureaucracy. We need to avoid that at all cost. We need to have production units that remain at a human scale. We continue to have leather good workshops with 300 people working there and no more because when you have 300 people, you know everybody's name and you can have a chat with people. We know that if we had leather good production units with 500 people, productivity would go up. However, it is important for us to keep this kind of human scale. And then there are 2 important issues. First of all, recruitment. We recruit a lot of people, and we need to be able to know who is adapted to work at HermÃ¨s, who can understand the long and sometimes unclear speeches of Axel Dumas, who can understand the decisions of HermÃ¨s. Culturally, we are very Japanese. There's a lot of chat, a lot of oral tradition, and we try to find a consensus. If you arrive at HermÃ¨s and ask who got the final cut, who is going to decide for everybody else, well, we can't answer that question. It doesn't mean that it doesn't work, that's not great, but it's just not our culture. And then a lot of training because that's also our future, cultural training and managerial training. I think a company is only as good as its managers' work and the middle managers' work as well. So we've invested a lot in training and in imparting our culture to newcomers. And people are really at the heart of HermÃ¨s and HermÃ¨s' future. And when it comes to people, it's not scientific. So we do our best, but it's really at the heart of our future development. If we sacrifice people, then we lose the whole magic of HermÃ¨s. So at HermÃ¨s, the true star is the craftspeople and the people selling the product in the stores. And I'm always amazed by the technical ability of our craftspeople and of our salespeople. If I'm a bit concerned at any point, I'll go to the Faubourg and see that there are clients. Maybe Florian is sending me fake clients to reassure me, but I do see clients talking with our salespeople, and all of that is quite amazing to see, the relationship and the bond that they have. So I'm always amazed, and we need to keep that. That means we need to continue to work with characters, with people who don't really necessarily fit in anywhere else. But yes, 3,000 new people a year. It's quite a lot. And it's actually a greater cause for concern than the margin is. Apologies, Eric, for that. Another question?
Operator: [Interpreted] We'll take the last question online that comes from Claire Bouleau from Challenges.
Claire Bouleau: [Interpreted] I have 2. First of all, to react to Thomas' reaction to your growth that maybe when do you be at EUR 20 billion. It's simple and complex question. How do you explain this positive anomaly of HermÃ¨s? This company, which is the only one to have this growth rate and margin, while we see for the other actors of this sector, it's becoming more complicated. And my second question is the Walmart -- there are certain issues that you're protecting -- how do you protect yourself from certain phenomena?
Axel Dumas: [Interpreted] It's the last question. I'll be able to talk -- to take you up 2:00 p.m. I have no explanation other than the fact that we try to do our work well, do it with authenticity. And I believe that it may be the difference. Communication is the 17th division of HermÃ¨s, that's important, where we don't do marketing, we don't try to create an illusion by paying people to wear our products. I think there's a kind of authenticity. And I also believe that it's not the success of HermÃ¨s, but the world came to us. I continue to believe that there's been important strong psychological effect of the financial crisis of 2018 (sic) [ 2008 ], saying what is the expenditure, what is investment, what is good but finally not good, how many AAA obligations, bonds sort of transformed. And so finally, there was a return to the true -- the craftsmanship. And I think we benefited from that. And then to talk about the ubiquity of our brands, the strength of HermÃ¨s is that we don't do that much volume after all. We do more volume but not that much volume. As compared to other houses, we remain -- our production of bags is quite artisanal. We do more volume in perfumes, of course. And some would say maybe not enough, not enough. And yes, [ Davila ] will say that. And then I feel like saying that what's important -- we have to remain faithful to ourselves. We're called HermÃ¨s. So we like to talk about Greek tragedy or myth. I very strongly believe in the myth of Ulysses. So we were asking the question to Jean-Pierre Vernant saying who is your favorite hero. And he said -- everybody says Achilles. He's strong. He's chose glory, even he was ready to die. I like Ulysses because Ulysses is clever apparently, parenthesis that his god is Hermes. So that's a good thing. And he says horrible things, but he continues, never stops. And when -- even when things are well, when they suggest that he become a god, which for a Greek is not bad, well, he does continue. And others could have stopped, but he continues in his project which is going back to Ithaca. So you have to remain faithful to yourself. And sometimes, it's more difficult, in the success than in failure, to remain faithful to oneself, true to ourself. The only difference is that we try to remain true to ourselves. And the one good thing that we've done is to remain true to ourselves when things were not going well and especially when things were going well and not overdo it. Then we're very happy with the results of 2024. And the fact that we really remain very demanding on quality at every instant. I'm not saying we manage every time, but it's really important to give importance to creation. That's essential. We are one of the rare houses where the artistic director is at the Executive Committee. It doesn't depend on a marketing department. So we've really tried -- and then the attention to -- granted to each one and the multi-local and the multi division. The head of Ready-to-wear is independent like the boss U.S.A. is very independent. So all of this leads to a dynamic which was good, but on which you have to remain very humble. The world is changing very quickly. You have to adjust, and I try to draw satisfaction first and pride for the teams, but not thinking that I found the magic recipe or the ready-mix. No, I do it with great humility. So I've -- dupe, I have a corporate answer. I have a corporate answer, but I'll give both. We have no comment on this subject, the fakes -- on fakes. Counterfeiting is something we take very seriously with its economic and social consequences. Difficult to know what exactly to think about it apart from the fact that it irritated me, annoyed me. Sometimes I found the comment in the press at the time when everybody is talking about AI, will it take a copy and with -- Birkin is protected. So making a copy like this is quite detestable. It's really stealing the creativity of others. So that is the negative side. But then we have a watch on social media, and it was quite touching to say we respect HermÃ¨s, we can't afford it. But in the meantime, I feel like dreaming about it. So nobody bought this fake product, thinking that they could find an equivalent product. They know about the difference in quality. And there were things that were quite touching saying we want to be part of it. We get the feeling we're selling products rather than a style and a house that is between the 2. So I find that the counterfeiters who allow themselves to do this is something that is really unacceptable. And the fact that things make people dream is a complement. There was no ambiguity. Saying my fake watch is like the real watch, it's a recognition of know-how. I can't go in as quickly as possible into this universe. So it's a beginning. Some people profited from it because it's really very basic counterfeit products. And sometimes people are quite touching. So we'll fight it with all the means where we are dealing with people who know the law very well. And we have very strong teams. We're very -- we're good at fighting counterfeit. But the corporate answer is simple. But there is an ambiguity in the situation that you have to face up to. So I think the sermon is over. I'd like to thank you very much as usual. I'd just like to conclude with a personal note on this subject because I feel very grateful to head a company like HermÃ¨s, where I appreciate the values and the people who work in it. I wanted to say that I'm very lucky to come in the morning and to know that I'm going to come across lots of employees of HermÃ¨s, in particular, my Executive Committee, and it's a great pleasure indeed. So I'm very grateful to have the opportunity of presenting very good results to you. Very grateful for that. And I hope it will continue that we will remain, whatever happens, true to ourselves even with quarters which are too positive or not positive. Thank you very much. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]